Operator: Good day, and welcome to the Northern Trust Corporation First Quarter 2025 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jennifer Childe, Director of Investor Relations. Please go ahead.
Jennifer Childe: Thank you, operator, and good morning, everyone. Welcome to Northern Trust Corporation's First Quarter 2025 Earnings Conference Call. Joining me on our call this morning is Michael O’Grady, our Chairman and CEO, David Fox, our Chief Financial Officer, John Landers, our Controller, and Trace Stegman from our investor relations team. Our first quarter earnings press release and financial trends report are both available on our website at northerntrust.com. Also on our website, you will find our quarterly earnings review presentation which we will use to guide today's conference call. This April 22nd call is being webcast live on northerntrust.com. The only authorized rebroadcast of this call is the replay that will be made available on our website through May 21st. Northern Trust disclaims any continuing accuracy of the information provided in this call after today. Please refer to our safe harbor statement regarding forward-looking statements on page twelve of the accompanying presentation, which will apply to our commentary on this call. During today's question and answer session, please limit your initial query to one question and one related follow-up. This will allow us to move through the queue and enable as many people as possible the opportunity to ask questions as time permits. Thank you again for joining us today. Let me turn the call over to Michael O’Grady.
Michael O’Grady: Thank you, Jennifer. Let me join in welcoming you to our first quarter 2025 earnings call. Our first quarter results demonstrate the strength and resilience of our business model. We generated our third consecutive quarter of positive operating leverage, driven by mid-single-digit growth in both trust fees and net interest income, while managing expenses as well. EPS, excluding notables, increased 13% and we generated a return on common equity of 13%. Both while boosting capital levels meaningfully and returning $435 million to shareholders. Our results benefited from strong underlying market performance and elevated volatility levels, which drove strong capital markets activity late in the quarter and extended into April. Our performance also reflects continued progress implementing our One Northern Trust strategy. Our roadmap for becoming a consistently high-performing company, and producing meaningful value for all stakeholders. Let me give you an update on our progress. First, optimize growth. We entered 2025 with good momentum. Continuing to embed collaboration between our business units, leveraging the capabilities of the entire firm. We advanced our enterprise-wide growth initiatives which align with key client needs and opportunities, including alternative investment solutions, family office services, and liquidity solutions. We also concentrated on core initiatives within each of our business units. As it relates to alternatives, fundraising is particularly strong within our asset management segment, and we are on track to nearly double our capital raise versus prior year averages. Within asset servicing, new business activity in the first quarter was brisk, particularly within private markets, where our technology and operational expertise have been consistent differentiators. During the quarter, we were selected as the global outsourced private capital administration provider for Ignio Infrastructure Partners, a $20 billion alternatives manager specializing in global infrastructure investments. Expanding upon our longstanding relationship with private equity firm Alchemy Partners, we were awarded the asset servicing business for a new $1 billion special opportunities fund launch. Demiliquid funds and the democratization of private markets globally remain an important area of focus. And we extended our leading market share in the quarter. Northern Trust is currently supporting over half of the approved long-term asset funds or LTAS in the UK, with an additional ten in the pipeline. Building upon the strength of our upper-tier wealth business, our wealth management segment formally rolled out a dedicated ultra-high-net-worth segment which we've named Family Office Solutions, focusing on wealthy individuals and families with more than $100 million in net worth. Already, we see very good client traction. Performance in our global family office also continues to be strong. New business activity remained robust, particularly within international markets. During the quarter, we onboarded several marquee relationships in EMEA, strengthening our position as one of the leading administrators of private investment office assets in Europe. As it relates to liquidity, we've seen a healthy increase in deposit levels as a number of clients have taken a risk-off approach reallocating portfolios, and raising cash. In asset management, we generated positive liquidity flows in the first quarter, continuing the trend we've seen over the past nine quarters. Beyond liquidity, our suite of actively managed offerings which skew towards high quality, low volatility, and tax-efficient products tend to perform very well in the current environment. And we're seeing significant client interest. We had $1.7 billion of inflows into our custom tax-optimized SMAs, which are capitalizing on market volatility to deliver increased after-tax value. We're also broadening our ETF platform, having recently filed to launch eleven new fixed income ETFs later this year. Meaningful progress was also made against our other two strategic pillars, strengthening resiliency and managing risk and driving productivity. We continue on the multiyear effort to uplift our risk and control system. We transitioned from design to implementation of new capabilities that will better enable us to systematically anticipate, identify, manage, and control risk across all areas of our organization. We also advanced along our technology journey driving towards a more stable, scalable, safe, secure environment for our stakeholders. Productivity initiatives for 2025 are well on track, fueling further critical investments in growth. Within the office of the COO, we're reengineering our operating model to enhance efficiency, standardize services, and streamline processes. At the same time, we're making continued headway with workforce initiatives and third-party spend, including pursuing further vendor savings. To wrap up, we're off to a solid start to the year. While we face a highly challenging macroeconomic and market backdrop, we enter the current environment well-positioned to navigate a wide range of outcomes. Our balance sheet strength allows us to meet the evolving needs of our clients while pressing ahead with our strategic objectives. With that, I'll turn it over to David Fox to review the financials.
David Fox: Thanks, Mike. Let me join Jennifer and Mike in welcoming you to our first quarter 2025 earnings call. Let's discuss the financial results of the quarter starting on page four. This morning, we reported first quarter net income of $392 million. Earnings per share of $1.90 and our return on average common equity was 13%. As Mike mentioned, we delivered our third consecutive quarter of positive total operating leverage. We also reported our fourth consecutive quarter of positive trust fee operating leverage, both excluding notables. Relative to the prior year, currency movements unfavorably impacted our revenue growth by approximately 20 basis points and favorably impacted our expense growth by approximately 50 basis points. Currency movements were immaterial relative to the prior period. As a reminder, year-over-year comparisons reflect one fewer day this year as last year's first quarter included an extra day in February due to leap year. Trust investment and other servicing fees totaled $1.2 billion, a 1% sequential decline and a 6% increase compared to last year. Net interest income on an FTE basis was $574 million, essentially flat compared to the prior period and up 7% from a year ago. Our assets under custody and administration were up 1% sequentially and up 3% as compared to the prior year. Our assets under management were flat sequentially and up 7% year over year. Overall, our credit quality remains very strong. Excluding notable items in all periods, other non-interest income was down 9% sequentially and down 4% over the prior year. Revenue was down sequentially 1% and up 6% on a year-over-year basis. Expenses were up 3% sequentially and up 4.8% over the prior year, and earnings per share decreased 16% sequentially but increased 13% compared to the prior year. Turning to our asset servicing results on page five. Our asset servicing business performed well in the quarter. Transaction volumes were healthy, capital markets activities were up double digits over the prior year, and new business growth continues to be booked at attractive margins. Assets under custody administration for asset servicing clients were $15.8 trillion at quarter-end reflecting a 3% year-over-year increase. Asset servicing fees totaled $672 million. Custody and fund administration fees were $453 million, up 4% year over year largely reflecting the impact from strong underlying equity markets and new business generation. Year-over-year comparisons were dampened by the client exits we discussed in the second quarter of last year. Other fees were $48 million up 7% year over year, largely reflecting growth in our front office solutions product as well as higher seasonal benefit payments. Assets under management for asset servicing clients were $1.2 trillion up 7% over the prior year. Investment management fees within asset servicing were $153 million, up a strong 9% year over year due to favorable markets and new business activities. Now moving to our wealth management business on page six. Wealth management also had a healthy quarter with continued strength in our global family office business. Assets under management for our wealth management clients were $447 billion at quarter-end, up 6% year over year. Trust investment and other servicing fees for wealth management clients up 8% year over year, primarily due to strong equity markets. Moving to page seven in our balance sheet and net interest income trend. Our average earning assets were up 3% on a linked quarter basis, fueled by higher deposit levels, which drove an increase in cash held with the Fed and other central banks. The duration of our securities portfolio remained at 1.6 years, and the total balance sheet duration continues to be less than one year. Net interest income on an FTE basis was $574 million flat with the fourth quarter and our net interest margin was 1.69%, down two basis points quarter over quarter. NII outperformed our expectations largely due to higher than expected deposit levels. Average deposits were $116 billion up 3% compared to fourth quarter levels. Within this, interest-bearing deposits increased by 4% non-interest-bearing deposits decreased by 3% but remained at 15% of the overall mix. Deposit pricing was largely as expected. Institutional deposit betas remained high, and wealth deposit betas were stable. The quarterly contribution from transactional and other items returned to more normal levels. Turning to our expenses on page eight. Non-interest expense was approximately $1.4 billion in the first quarter up 3% sequentially and 4% as compared to the prior year. Excluding notable items in the prior period as listed on the slide, expenses in the first quarter were up 4.8% year over year, an improvement from the fourth quarter's 5.5% year over year increase. Let's go back and review our core expenses from the quarter. Compensation expense was up 8% sequentially largely reflecting the impact of our seasonal equity incentive grants. Top expense increased 3% over the prior year resulting from modest levels of hiring associated with our modernization initiative and underlying growth in the business. Outside services expense increased 7% relative to the prior period largely due to higher levels of spend associated with our modernization and resiliency initiative but it was down 3% sequentially as the same spend started to flatten out. Equipment and software expense increased 11% year over year mostly related to higher depreciation and amortization expense, and costs associated with our cloud journey. Turning to page nine, our capital levels and regulatory ratios remained strong in the quarter. We continue to operate at levels well above our required regulatory minimums. Our common equity Tier one ratio under the standardized approach increased by 50 basis points on a linked quarter basis to 12.9% driven by capital accretion and a decline in RWA. Our Tier one leverage ratio was 8% down ten basis points from the prior quarter. At quarter-end, our unrealized pretax loss on available for sale securities was $527 million. Dollars and we returned $435 million to common shareholders in the quarter through cash dividends of $148 million and common stock repurchases of $287 million. Reflecting a payout ratio of 116%. Turning to our guidance. Starting with expenses, we continue to expect our total operating expense growth to be below 5% for the full year. Excluding notable items in both periods. Turning to NII. Given our first quarter outperformance, coupled with recent deposit growth, we're raising our full-year guidance from low single-digit growth to low to mid-single-digit growth. This assumes continued strong deposit levels stable deposit mix, meaning we wouldn't expect absolute levels of NIB to move materially from current levels, but the percentage overall mix could change. Market implied forward curves as of this week and relatively stable deposit pricing. And with that, operator, please open the line for questions.
Operator: Thank you. If you would like to ask a question, please press *1 on your telephone keypad. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. And our first question is gonna come from Steven Chubak from Wolfe Research. Please go ahead.
Steven Chubak: Hi. Good morning, and thanks so much for taking my questions. I wanted to start on a question on the NII guidance and the modest upward revision is certainly encouraging. The cumulative beta of 86% so far this easing cycle, it's certainly surprised positively, especially relative to the 72% beta we saw during the period of Fed tightening. Was hoping you could speak to what deposit beta assumption is underpinning that guidance. Just trying to gauge what sort of deposit betas we can underwrite to sustainably if we get four additional cuts consistent with the forward curve.
David Fox: Yeah. Our deposit betas remain relatively stable if you look historically, but I would say that it's obviously gonna be higher for the institutional business, closer to a hundred and then lower for wealth. Sixty to seventy percent, roughly. I will also point out though that we have spent a lot of time on our deposit pricing mentioned this in the last earnings call. And thinking a little bit about tiering and the size of our deposits, where we get our deposits. So I think having spent more time doing that, I think it's really it's benefited the deposit beta on the positive side.
Steven Chubak: That's great. And for my follow-up, just on the fee outlook and the impact on expenses, just given you're gonna have to absorb some of the negative marks related to month and quarter lag price. And David, it sounds like you were reaffirming the five percent or better expense guide. I wanted to better understand how much flex you have if those fee pressures intensify and we don't necessarily exceed an inflection or recovery in equity markets over the course of the year.
David Fox: Yeah. We are dedicated to keeping that expense growth rate below five percent. I'd point out that at the beginning of the year as we were doing our planning, we spent a lot of time identifying discretionary and nondiscretionary spending. We know exactly what we have to do to flex. I think you also heard me say in the previous call that we're trying to build a more flexible business model that can basically, you know, adjust itself as market conditions either get better or get worse. Right? So we know where we have to do it. We know what our levers are. They're gonna be, you know, obviously, in the consulting side, outside services, technology spend. And then potentially even on incentives as well. So we've got a management team, I think, that's really driving towards having strong positive operating leverage through all the cycles. And that's why I'm willing to say we're gonna obviously stay within that below five percent. Currency creates a bit of a headwind for us. You know, from my perspective, it's neutral in the sense that it helps us on the revenue side and hurts us on the expense side. That's obviously gonna be something we have to manage more proactively. But at the end of the day, we don't control it. We're still based on the current exchange rates, we still think we can get to that five percent or below.
Steven Chubak: Very helpful, caller. Thanks so much for taking my questions.
Operator: And our next caller is Betsy Graseck from Morgan Stanley.
Betsy Graseck: Hi. Good morning.
Michael O’Grady: Morning.
Betsy Graseck: Mike, during your prepared remarks, you mentioned that you had some capital markets activity. There was pretty hot towards the end of the quarter, and then it bled into April. Could you talk a little bit about what type of capital markets activity you're referring to there and has it continued in, you know, into April, meaning now? Thank you.
Michael O’Grady: Sure. So the level of volatility in the markets obviously has different impacts. One of them is that in general, it does tend to drive more what we would consider capital markets activity for us. Which would be foreign exchange, and then also brokerage. And in particular, I would say, within that is our integrated trading services. Where, you know, we are essentially the outsourced trading desk for asset manager clients. And so as they see, you know, repositioning happening, in their portfolios, that's something that flows through to us. So it was a little bit, as I was saying, in the first quarter, and more just the momentum that's carried into April here, and we'll see where it goes from there.
Betsy Graseck: Okay. Got it. And then follow-up question is on the Family Office Solutions. Which launched this quarter. Is that right? Did I get that right?
Michael O’Grady: You got it right.
Betsy Graseck: Okay. So can you talk a little bit about your plans for this new, what should we call it? Sleeve offering segment. I mean, you've long had this capability set, but by putting it together in this way, it'd be helpful to understand how you see the drivers from here in terms of rebranding within your current client set versus attracting new customers, and is this something that you would be taking beyond the US? Thank you.
Michael O’Grady: Sure. And you have it right there, Betsy, as to how we're looking at this, which is from a capability perspective, we have family office capabilities as part of our global family office business and have been very successful in serving clients and growing the business on that front. And then from a segment perspective, the ultra-high-net-worth segment, so think about $100 million and above, we've also been very successful in serving that segment of clients. And what this is about is trying to deliver that capability set of family office services to the ultra-high-net-worth segment. So right now, for an ultra-high-net-worth client, for the most part, we're providing a very bespoke service offering to them. They're surrounded, and it's a high level of service for that client base. And yet, we have clients in that segment that are looking to outsource more of those activities to us. And it's a broader set. So beyond what you would think about as far as traditional wealth advisory, trust, fiduciary, banking, you know, they're also looking for a more robust reporting capability. They're looking for outsourced bill payment. They're looking for more of an OCIO type investment service. So it's those capabilities that we're already providing to family offices just being able to do it on an outsourced basis for ultra-high-net-worth clients. And to your point, this is both the opportunity to improve or enhance the service to existing ultra-high-net-worth clients, but absolutely an ability for us to grow that base of clients with these services.
Betsy Graseck: Thank you.
Operator: And our next caller is gonna be Ken Houston from Autonomous Research. Please go ahead.
Ken Houston: Hey, guys. Good morning. Nice to see the little incremental buyback. Just wondering and now even with the even higher CET1 ratio at twelve nine, I know you had previously talked about doing greater than the seventy-eight percent total capital return you did last year. You talk about your comfort with that or just given the environment and where capital still was going, you know, could you still move that up forward, you know, more and more back to shareholders? Thanks.
David Fox: Yeah. So I'll take a crack at that. You know, we love our flexibility, and it's hard in a point in time to exactly where you're going to land. Particularly in uncertain markets. You wanna make sure you're there for your clients, and so it trended up this quarter. There's obviously some room to take it down. And I will remind you, we did pay out 116% of earnings, which is an insignificant versus the 90% we did in Q1. So, yeah, our range is eleven percent to twelve percent on CET1, and that hasn't changed. We do watch our capital levels compared to our peers. You know, and so we like the higher payout levels. I think going forward of around a hundred percent could be something that we could aim more towards going forward.
Ken Houston: Makes sense. Great. And a follow-up on the expense side. So expenses to trust fees, calculating around one eighteen, about flat year over year. I know you have the long-term goal, one zero five, one ten. And I know there's a direction of travel that you're aspiring for, but just given Steven's prior comments about, you know, the market headwinds that you're facing, I think you expect to see directional improvement there, as we move forward? And I guess, you know, there's a push and pull with as you already mentioned, you're trying to get the expense growth rate lower. So just how do we just think about that? Thanks.
David Fox: Yeah. Well, there's obviously two components to that ratio. You know, in the trust fee environment right now, given what's happened in the capital markets, is gonna be something that we again, we don't control. What I try to focus people on is organic trust fee growth and organic expenses. Those are the only things that we really have pretty much complete control over. What we try to do is drive those down as much as we possibly can then we have to just confront whatever market environment that we have at the time. And there's certain things that are gonna sort of we're just gonna have to accept them. The more we drive down the organic side and drive up the trust fees, that we're gonna be in better shape. So that's sort of how we think about it. And then it all ends up being in the expenses to trust fees, but, again, that doesn't that that includes all the market gyrations that are in there as well. And clearly, our targets are much lower than where we currently are.
Ken Houston: Got it. Thank you, Dave.
Operator: And our next question is gonna come from Mike Mayo from Wells Fargo Securities. Please go ahead.
Mike Mayo: Hi. Just some clarification on your other answer. So Family Office Solutions, you have Global Family Office. That's one fifth of your wealth revenues. So family office solutions what do you imagine as the total addressable market? How much of that of your current family office revenues is that today? What geographies are you targeting? Are you hiring people for that? Because this seems like you certainly talk a lot about this. Especially relative to its size. In terms of revenue contribution. So I'd you could just flesh that out a little bit more. Thanks.
Michael O’Grady: Sure. So you know, as far as the addressable market, the ultra-high-net-worth market, very large. And if you look at just our client base, the number of clients that would fall into this category is in the hundreds. Kinda three to four hundred existing clients that would fit this profile. I don't have, I'll say, a percentage of revenue number for you on that front. And so it's already a large client base for us. It's just one that we think with the growth in that market, and our brand in that market and our capabilities, it's one that we can both grow with the market but also take share in doing that. And then to your point on hiring people, absolutely are adding resources to this. It is a different model than what we've had where in this case here, as I mentioned, it's like an outsourced family office capability. And so the primary interface for those clients is essentially the, you know, the quarterback for that relationship. So in a family office situation, you know, that person is an employee, if you will, of the family. Who's directing all that activity. In this case here, that's a Northern Trust employee who is the quarterback or the director of all of those activities. We absolutely have people that do that now, but as we're growing this business, we are adding additional talent as to be able to continue to resource the growth there. And then I would just also add to it. There are also technology capabilities. That are a part of this. So you know, for the family office business, that's all delivered through a comprehensive technology platform, if you will. Where we act as essentially the overall integrator of the various types of technology for a family office. And in this case here, you know, to be able to provide that on a more a la carte basis, if you will, for the ultra-high-net-worth clients. There's some technology build that we're investing in as well.
Mike Mayo: So Family Office Solutions Northern would kinda be the CFO on behalf of the family. As opposed to the existing family office. Okay. Got it. And the other question relates to relates to the question about capital. I mean, you have so much CET1. It went up so much more again. You're so far above your minimum. On the one hand, I think a lot of your stakeholders, you know, like that. You survived the Great Depression. You're one of two big banks that didn't cut the dividend during the global financial crisis. You like that. Perception of trust and resiliency. You know, I get it. On the other hand, it's hard to know where that line is between having enough for that resiliency and having so much that you have some trapped capital. So know, what are your thoughts about acquisitions or accelerating the buyback? I know that's already come up. Or and what kind of deregulatory benefits are that you could potentially get under the new regime? Thanks.
Michael O’Grady: Sure. So, you know, your preamble there, Mike, covered a lot of the things that I would start with as well. So all that said, we are in a very good position from a capital perspective. To the extent that we thought that there was something inorganic that we could do, which would be a good deployment of that capital, we would consider it. I would say at this point, you know, that's not a priority on that front. That's why we are in a position to do higher repurchases. As Dave mentioned, you know, in the quarter, we were over a hundred percent. All else equal as we go forward here, we think that's hundred percent. Is the right level to think about. And to your point, as far as any changes in the capital regime, you know, we'll start with what we think is the next capital, but we've also talked previously about the importance of being you know, at or above the level of some of our peers. So to the extent that it changes within the industry, you know, that changes that constraint, if you will, as well, and gives us even more flex to do things like that.
Mike Mayo: Alright. Thank you.
Operator: And our next question is gonna come from Ibrahim Poonawala from Bank of America. Please go ahead.
Ibrahim Poonawala: Good morning. I just wanted to follow-up. I guess, Dave, on the expense front, I think if you go back when you took over as CFO, we had the sort of leadership changes. You talked about the focus in terms of creating a COO overall and the focus on vendor contracts, on just moving business heads to manage some of these things, Just give us a sense of any proof points on what you achieved or seen so far. I know it's early days. But as we think about the expense flex and the operating leverage in the business that may come through over the next year or two, it would help us inform how much we can rely on Expense Flex. So I would love to hear things that have been achieved in the last sort of six, seven months. Since these changes occurred. And what's the runway here in terms of what inning are we in in terms of heightened identifying productivity opportunities? Thank you.
Michael O’Grady: Sure. And I think that's a good framework to think about it. Dave mentioned a number of things that we have been doing. And that you're asking about the time frames in front of us. So you know, on that front, again, we've been very focused on making sure that we have an efficient workforce, and that has produced efficiencies for us in the most recent periods. Of course, we'll continue to do that. There's still more opportunities to look at the way that we're organized, spans of control, location strategy, a number of initiatives across that front that will continue to deliver productivity for us. We're also in the earlier stages of continuing to deploy, I'll say, technology, and I say that in the sense of technologies that have been available like machine learning, natural language processing, that we're able to deploy to create efficiencies and productivity. And then in the earlier stages of generative AI. So areas where we're using GitHub, for example, for IT or software development automation, which, again, we're getting I'll say, very good results on that front, but it's in the very early days. Of deploying that. And also looking to deploy more for digitization of all the documentation that we utilize and have to process for our clients. And along those lines, if you think about a lot of the activities in the asset servicing business in our operations, that relate to workflow management. That's something where we're deploying the technology to continue to automate that. Much more. And then to your point of even beyond that, we've talked about the fact that we've reorganized, but that's only part of it. When we think about the COO organization that's been set up. It's also a change in our operating model where we're moving towards a more capability-driven operating model. That's where we're taking common services or activities or processes that cut across the company and looking to centralize, standardize, and automate those processes. So thinking about client onboarding, which happens across the company, or portfolio accounting, and those capabilities. And also our client platforms or portals, you know, our passports where we have multiple passports. To the extent that we can standardize those across the various businesses, geographies, that creates those longer-term productivity and efficiency opportunities. So a number of things that we're doing now but much more that we can do as we go forward. To ensure we're getting consistent productivity.
Ibrahim Poonawala: It's good color, Mike. Thanks for talking through that. And maybe one, Dave, heard your guidance on NII. Just remind us in terms of sensitivity to rate cuts, how we should think about that going forward. Rapid rate cuts, is that a negative? How you think how are you just going about managing the balance sheet? An Alco perspective? Thank you.
David Fox: Yeah. We have, you know, in our model, we've got two or three rate cuts potentially in there. You know, from our perspective, it doesn't really impact it all that much, to be honest with you. The NIM compression really doesn't start until we get a much, much lower rates. If you wanna think about it, you know, roughly speaking at twenty-five basis point rate cut it translates into less than a million dollars a month for us. So it isn't something that we anticipated, but this isn't something that's gonna prevent us from hitting our goal.
Ibrahim Poonawala: Sure. Thank you.
Operator: And our next question is gonna come from Glenn Shore from Evercore. Please go ahead.
Glenn Shore: Hi. Thanks. Good morning. Maybe talk about some of the alternative initiatives you have in motion, talk maybe asset and wealth management first. In terms of delivering a more complete set of solutions, I'm curious if you get what you could tell us and what's in motion in terms of both proprietary and third-party product that you might be onboarding, what signpost we might be looking to see throughout this year. Appreciate it.
Michael O’Grady: Sure. Absolutely. So alternative solutions definitely an important growth initiative for us across the company. To your question as it relates to wealth management, you know, what we're looking to do there, Glenn, is to enhance and expand the opportunity set for our clients. And it is a combination of both proprietary, but also third-party funds. So Fifty South Capital, is our alternative investment manager within NTAM. And on that front, you know, we've been very successful with our wealth clients in raising funds over time. Combination of fund to funds, but also other types of, you know, I'll say direct capabilities such as secondaries and co-investments, and we look to this year essentially double the fundraising capacity or actual fundraising amount to what we've done in previous years on average. And then on the other hand, we have our wealth management alternatives platform which has third-party funds on that. And that's an area where, likewise, we're looking to increase the number of funds this year that we offer to our clients. And also look to potentially increase the size of the average offering on that front. You know, that does require an investment. So that's why when you say you know, what's happening on that front, there's a lot happening to ensure that we do that in a way that gets the right outcomes for our clients, ensuring that we provide the right education around alternatives and how it fits into the portfolio of our clients. And so, yes, big area of focus for us. Both on our own, I'll say, and through third parties.
Glenn Shore: Great. Maybe I'll continue the theme and just ask a follow-up on the servicing side. In your prepared remarks, you talked about the semi-liquid funds important focus and doing like half, you said, or a little more than half? Of what's going on in the UK. US is obviously a huge market. For semi-liquids. I'm just curious if that technology backbone that you're having success with in the UK is literally the same thing or can be tweaked to go after the US market? And then if that's a clear plan. I appreciate it.
Michael O’Grady: Yeah. So to your point, the markets are different. You know, I'll say similar but different. So that capability with the LTAS in the UK, for example, there's a similar structure investment vehicle structure in Luxembourg. In that market, if you will. And as you know, that then is a market where you can distribute across Europe. Likewise, we've had success on that front, and I would say there there's activity there. Similarly, Ireland, you know, has its own structure. So yes, you need the expertise. Yes. You have the capability. It does require I'll say, you know, customizing for that marketplace. And so, you know, we have the ability to do that. And within the US, again, it's a different approach and structure for that market. But one that, you know, we've had growth and in the US with private capital and expect to going forward as well.
Glenn Shore: Alright. Thank you.
Operator: And our next question comes from Gerard Cassidy from RBC. Please go ahead.
Gerard Cassidy: Morning, Dave. Morning, Mike. Can you guys share with us it might be difficult to do this, but how can you calibrate the fee revenues for asset values versus volume? So if the global asset values were to continue to decline this year, how much can that be offset on your revenues with increased volumes?
David Fox: Yeah. I mean, so our AUC is about fifty percent equities. And thirty percent fixed income. AUM is about fifty-six percent equities. So we are levered towards the equity markets, right, from that perspective. So, yeah, it's gonna be volume and it's gonna be mix. Obviously, it's gonna be super important there. As well. Also, keep in mind that within, you know, the AUC bucket, a lot of the stuff that we do in asset servicing is custody agnostic. We're moving more towards solution-based revenues, like front office solutions and integrated trading solutions and things of that nature. So it what you know, assets under custody is super important, but we've added a ton of extra services around all of that, and it's less affected by that by that volume.
Gerard Cassidy: Very good. And then as a follow-up, a broader macro question. There's obviously change coming in on the regulatory front. We've seen as recently as Friday, and NPR come out from the feds on the stress capital buffer. Can you guys give us your views on the Basel III endgame? What changes might or what it might mean for Northern Trust also? Let's talk about excluding government securities from the supplementary leverage ratio. If you wrap it all together, how are you guys looking at it and how it might impact the way you run your business going forward?
Michael O’Grady: Sure. So, you know, the regulatory environment and framework is absolutely continuing to change. I mean, Basel III endgame has been out there for some time period, can't quite reach the endgame on that front. I would say within that aspect or that, you know, regime, it's mostly about operational risk. And how that gets treated from a capital perspective. You know, to the extent that it is a more, I'll call it, refined model, that relates to your particular operations and the actual risk that you have. That tends to be favorable from our perspective. As opposed to more blunt instrument approaches to operational risk, which tend to overweight the level of risk for a lot of the activities that we have. So on that front, I would say, you know, positive in the most recent development as to how they're looking at operational risk. And to your point on supplemental ratio, leverage ratio, again, as a custody bank, we tend to be a, you know, a valve, if you will, or a flex point for liquidity in the marketplace. We have plenty of capacity on that front right now. But certainly to the extent that something like treasuries receives different treatment as a part of that calculation, it only gives us more capacity. I say at this point, there's no particular, you know, say, need or relief that would be required for us based on our activities, would just create more capacity.
Gerard Cassidy: Very good. Thank you.
Operator: And our next caller is gonna be David Smith from Turis Securities.
David Smith: Good morning. Can you speak some more about how the current market volatility impacts new business on the one hand and client attrition on the other? Clients less likely to make big moves, you know, in terms of custodian or manager during times like this. And just lastly, do these trends look different in asset servicing versus wealth right now? Thank you.
Michael O’Grady: Yeah. I do think that market volatility uncertainty can drive client decision making. And so it's we haven't seen anything, I would say, significant at this point. But, frankly, we're still in the first month, you know, of this really high level of volatility. And so we'll see how that plays out, but, yeah, it can run counter to decision making. And then I would say, as to how it might differ, you know, on the institutional side, these tend to be, you know, longer time periods for decision making. You know, where they tend to be running RFPs over many months. And so those tend to continue along. Because, you know, that they're, I'll say, more accustomed to changes in the marketplace. On the wealth front, it can cause a pause. For people to actually switch over. But, frankly, it just builds up the pipelines to the extent that, you know, we've made the case to be able to switch the accounts but as to the timing as to when they wanna do it, it just may take a little bit longer to do on that front. So early days on that front, you know, but there's certainly can be an impact from volatility. And then as a follow-up, you've seen some, you know, some nice acceleration in expenses over the past few quarters. But it also does seem like your organic flows packing out market impacts or lagging peers up same time. What gives you the confidence that you're making all the necessary investments in growth the same time that you're working to bring expenses down?
Michael O’Grady: Yep. That way you described it is certainly the objective, and that's why the productivity pillar of our strategy is critical because it creates that capacity to be able to invest the growth initiatives that we talked about. So certainly on the alternatives front, on the family office services front to be able to do it. But then there are a number of other growth initiatives that we're looking and are funding to ensure that we can move that organic growth rate up. Most of them within wealth management and asset management. And so, you know, we've talked about some of them, but I also mentioned in some of my opening comments in asset management, around ETFs where we'll be launching a number of new funds later this year. On that front. We talked a little bit about tax managed equity. Another area that we're investing not as much in the capability from an investment perspective. We're very strong. But from a technology perspective, to be able to do that in an even more scalable way. So, yes, continuing to invest to be able to fund organic growth.
David Smith: Thank you.
Operator: And our next question is gonna come from Jim Mitchell from Seaport Global Securities.
Jim Mitchell: Hey. Good morning. Maybe just a couple of follow-ups on wealth. In the family office solutions business, obviously, some ultra-high-net-worth clients are moving from the more traditional relationship to a family office. Is that more of an effort to make that relationship stickier or is there also a material revenue pickup as they convert?
Michael O’Grady: Yeah. I would say it's a combination of things. You know, one is to just enhance the service level, if you will. You know, this idea of being able to outsource more gives them, you know, a higher level of service. Second, I would say is it's our ability to win more business. You know, we see a greater demand for that setup where they have an out family office provider, if you will, where they have that quarterback. So it enables us to grow. And then third, I would say is around the scalability of what we're doing. You know, overall, this segment, you know, I would say is not a, you know, terribly scalable offering. It's very high needs. It's very expert-driven. In many cases, you know, very bespoke for the clients and what their needs are. And so anything we can do to improve the scalability enables us to grow faster and more profitably. And then to your point as well, we think if we do a great job, we'll continually earn that business, and the business will be sticky for us as well.
Jim Mitchell: Right. That makes sense. And then maybe just bigger picture that's obviously been a place while generally you've pivoted to try to drive organic growth improvements. You've highlighted a few examples of success across alts. Etcetera. So how do you how are you feeling better, worse on sort of the organic growth acceleration that you're trying to get and do you have any intermediate targets on where you can get that organic growth to? In wealth?
Michael O’Grady: Yeah. So feel very good about the initiatives that we have in place and our progress on them. But I would say on some of these, they are in the earlier days or earlier stages. On that front. The nature of this business is, you know, you earn them one by one in many respects. So it's different than our institutional business where you have, you know, very, very large mandates that can drive a higher growth rate in a shorter period of time. And then I'll also say one of the keys is really being able to execute on our One Northern Trust strategy. And what I mean by that is just delivering the entire firm. So it's not, I'll say, just wealth management. It's the entire firm. It's asset management. And when appropriate also the asset servicing and banking capabilities that our wealth clients need.
Jim Mitchell: Okay. Thanks. For the color.
Operator: And our next question is gonna come from Vivek Jainja from JPMorgan.
Vivek Jainja: Hi. Thanks. Just want a clarification on your fees in both servicing and asset management. Dave, I heard you say you know, you've added a lot of services, and then you also mentioned in your release about, you know, the lag defect that you always have. From asset values. Obviously, fourth quarter asset values did well. But when I look at your servicing and asset management fees, both were downlinked quarter. Any color on what drove that down and how we should think about it given that Q1 was actually down further? So any talk about this?
David Fox: So the way to think about the billing lag is twenty-five percent quarterly, sixty percent monthly, and fifteen percent daily. Sort of the way we think about it. So, you know, obviously, the quarterly benefit, we'll still see it. Going into Q2 because March 31st wasn't was before liberation day. So we're still gonna see an impact there. But you know, going forward is it obviously will catch up to us unless the markets will, you know, come back materially.
Vivek Jainja: Okay. And then what completely different topic. Maybe Mike, your fee revenues, both servicing and asset management, what percentage is non-US? And as you think about growth, I know Jason in the past has talked on this call has talked about you know, wanting to add a lot of growth internationally too. What are you thinking as you've done your plans in terms of how much of the growth you expect either coming from international in next year, next three years, Any think about that?
Michael O’Grady: Sure. So roughly twenty-five to thirty percent of our revenue is non-US. And that, you know, will vary over time quarter to quarter. That gives you some idea of the distribution there. And I would say from a growth perspective, that each of our businesses has a, you know, non-US or international growth component to it. You know, again, the markets can change and the dynamics can change. There are certain areas where we think there is more of a growth opportunity internationally with the business. So for example, within the family office business, it'll continue to grow in the US, but we've been growing at a higher rate outside of the US as well. Some meaningful wins even in the quarter here. Where we think that that opportunity in our capability set, continues to offer a, you know, a higher growth opportunity. And then in asset servicing, as much as we've had, you know, good success, for example, in the quarter here with our US asset owner client base. We continue to win in EMEA and in APAC as well. So I don't see that mix, I would say, meaningfully changing. As we go forward here and, you know, continue to have that type of balance.
Vivek Jainja: And just a clarification, though, twenty-five to thirty percent, Mike, were you referring to fee revenues, I'm presuming?
Michael O’Grady: That's total revenues.
Vivek Jainja: What would it be for fee revenues?
Michael O’Grady: I don't know offhand side. We'll have to follow-up with that Vivek.
David Fox: Yeah. Dollars still represented about eighty percent of our trust fees.
Vivek Jainja: Okay.
Operator: And our next question is gonna come from Alex Goldstein from Goldman Sachs. Please go ahead.
Alex Goldstein: Hey, everybody. Thanks for squeezing in here. A couple of follow-ups for me. First, maybe on NII. Understanding that the environment is obviously quite volatile. I think in your forward guidance, you guys are assuming fairly stable deposits. I'm assuming that's too average in Q1, but maybe give us an update on kinda how things stand so far in April both in terms of the level and the mix just given, you know, all the volatility we've seen so far in the second quarter?
David Fox: Yeah. I mean, deposit levels are hanging in there. And obviously, you know, you'll you know, March 31st was a point in time, but at the end of the day, our clients, I think, are, you know, have taken a somewhat of a risk-off position in the marketplace, and they think they view Northern as a good place to put their deposits. And so from our perspective, you know, the deposit levels are driving a little bit obviously, of the guide I've given you going forward, and we don't see them abating, you know, obviously, for the next couple of months. And so from that perspective, we feel pretty good about that.
Alex Goldstein: Right. So okay. That makes sense. And then in terms of just the mix as well, could you just kinda us think about what should we be looking out for when thinking about the mix going forward? The risk-off environment doesn't seem to change the mix. Miss mix rather drastically. It sounds like non-interest-bearing deposits is still kinda hanging in around the same level in terms of percentages. But what would change that, and what sort of the client segment that will be most responsible, I guess, for that shift?
David Fox: So yeah, so keep in mind that fifty percent of our securities reprice in ninety days or less. And over eighty percent of the book is in US dollars. And we've got about a billion of fixed securities that run off each quarter and then are being reinvested in fixed and floating. And we have our duration has gone up a little teeny bit, but we have been taking the opportunity think a little bit about protecting twenty-six, if you will. So you know, from that perspective. So and also keep in mind that about seventy percent of our deposits are in US dollars. Right? So there are opportunities for us to do some arbitrage opportunities between those currencies and things of that nature. And as I said before, deposit betas are gonna remain pretty steady until we get to much lower interest rate levels. So that's sort of what's driving the NII outlook.
Alex Goldstein: Gotcha. Okay. And then just another quick on expenses. So I heard you guys, in terms of your prepared remarks and outlook for this year, just given the more uncertain macro backdrop and the effect will be delayed on fees that lower markets might have on you guys, could you just remind us the percentage of your expense base that flexes directly with lower asset levels? There's some things like subadvisor or sub custody fees and things like that that are that I think quite floating. But if you look at your expense base more holistically, what percentage of that is sort of truly variable with the fee revenue?
David Fox: Not as much as you might think. Roughly, it's less than half a percent.
Alex Goldstein: Right? So Okay. In the general, the time we give you guys is the ten percent change in the markets is about a three percent change in trust fees. Two percent revenues. Unfortunately, on the way down, we don't get as much benefit from those kind of fees going down.
Alex Goldstein: K. Great. Alright. Thanks so much.
Operator: And our next question is gonna come from Gerard Cassidy. From RBC.
Gerard Cassidy: Hi, guys. Just a quick follow-up. David, what you guys obviously took a nice gain from your Visa position last year. Could you just update us where it stands now on the balance sheet, what the value is and what you're thinking of doing with the remaining shares that you may own?
Michael O’Grady: So on the balance sheet, Gerard, it said zero. So it has not been, you know, marked up, if you will. And at this point, I would consider it, you know, restricted. If Visa does create the opportunity to liquidate an additional portion of that. I think we'll, you know, we'll consider it at that point and with the same decision-making framework that we did before when we decided to take advantage of that and liquidate half of our position at that time. And at this point, don't really have any more visibility into it.
Gerard Cassidy: Got it. And just and maybe reword the question. What's the unrealized gain potential, I guess, is was the better question since it's carried at zero on the balance sheet?
David Fox: About $1.1 billion? Pretax.
Gerard Cassidy: Great. Okay. Super. Appreciate that. Thank you.
Operator: And there are no further questions in the queue at this time. I will now turn the conference back over to Jennifer Childe for closing remarks.
Jennifer Childe: Thanks, operator. Thank you, everyone, for joining us today. We look forward to speaking with you again in the future.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.